Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the Westlake Corporation First Quarter 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers’ remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded, May 3, 2022. I would now like to turn the call over to today’s host, Jeff Holy, Westlake’s Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you. Good morning, everyone, and welcome to the Westlake Corporation conference call to discuss our results for the first quarter of 2022. We additionally would like to thank everyone who is able to attend our recent Investor Day, which occurred on April 7th. The webcast and presentation from the Investor Day are available in the Investor Relations section of our website for those of you who are unable to attend. I’m joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; Roger Kearns, our Executive Vice President and Chief Operating Officer, and other members of our management team. We have included an earnings presentation, which we’ll reference during our call today that can be found in the Investor Relations section on our website. During the call, we will refer to ourselves, our recently established reporting segments, the housing and infrastructure products segment, which we refer to as HIP, and the performance in Essential Materials segment, which we refer to as PEM. Today's conference call will begin with Albert, who will open with a few comments regarding Westlake's performance. Steve, will then discuss our financial and operating results. Albert will then add a few concluding comments, and we'll open the call up to questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. These risks and uncertainties are discussed in Westlake's Form 10-K for the year ended December 31, 2021, and other SEC filings. We encourage you to learn more about these factors that could lead our actual results to differ by reviewing these SEC filings, which are also available on our Investor Relations website. This morning, Westlake issued a press release with details of our first quarter results. This document is available in the press release section of our website at westlake.com. A replay of today's call will be available beginning today, two hours following the conclusion of this call. This replay may be accessed by dialing the following numbers. Domestic callers should dial 855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 424-6547. Please note that information recorded on this call speaks only as of today, May 3, 2022, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at westlake.com. Now I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good morning, everyone. We appreciate you joining us to discuss our first quarter 2022 results. I'm pleased to announce that we reported record results in the first quarter of 2022. We achieved record quarterly sales of $4.1 billion, record quarterly net income of $756 million and record quarterly EBITDA of $1.3 billion. These record results were driven by the compelling attributes of Westlake, we spoke about in our recent Investor Day, including resilient earnings from a specialty portfolio with globally advantaged cost positions, value-added branded products in growing markets and a strong track record of acquisitions, creating long-term value. We benefited from these attributes combined with end market demand trends in industrial and consumer packaging, housing construction, industrial manufacturing, coatings and wind energy markets. Strong revenue growth, driven by the robust housing and construction activity, the value of our leading brands and equally strong revenue growth in our specialty portfolio in the PEM segment driven by gains in polyethylene and PVC as well as caustic soda, all drove record sales. The strength in these markets mitigated the impacts of rising energy and raw material costs as well as supply chain disruptions, driving record EBITDA and strong EBITDA margins in the quarter. I want to thank all of our employees for their hard work and dedication in helping us achieving these results. We completed our acquisition of Hexion's global epoxy business effective February 1, which has been rebranded Westlake Epoxy. This acquisition adds to Westlake scale our differentiated and specialty product portfolio with a globally advantaged feedstock and energy cost position in North America and with a long track record of operational strengths. These important attributes enable us to continue to deliver more resilient earnings in a variety of economic environments while position us well for the future. Since mid-2021, we invested $3.8 billion to significantly expand and drive specialization and diversify our portfolio of branded products across our businesses. These new businesses accelerate Westlake's existing capability to continue our growth and execute on our many opportunities with the financial -- attractive financial attributes, further enhancing Westlake's existing leading positions and scale. I think it's important to highlight the magnitude of the growth we have already delivered. Supported by our recent acquisitions, total year-over-year, first quarter 2022 sales growth in PEM was 63%, and in HIP was 99%. Steve will provide further details on our results. The significant contribution to sales net income and EBITDA of these acquisitions and the magnitude of the transformation we have undertaken since 2021. We experienced margin expansion in PEM by leveraging our best-in-class cost position, driven by vertical integration and a large North American footprint with globally advantaged costs, low-cost raw material and energy. Our leading positions in ChlorVinyls contributed significantly to our results this quarter as strength in caustic soda, PVC and specialty PVC markets drove our margins higher. Industrial and consumer packaging demand also drove the strong results of PEM and our specialty polyethylene, which is over 40% of our polyethylene capacity made significant contributions this quarter as well. Our focus on the specialty and differentiated products provides a clear margin advantage and our product mix distinguishes from other commodity producers. With our market-leading positions in HIP, we realized significant earnings growth from our value-added strong brand name product offerings with attractive secular growth trends. In the first quarter, we were able to reap the benefits of the continuation of the momentum from 2021 in North American housing and construction activity with our leading product positions and brands. These factors drove robust demand for our PVC resin and building products, and our sales volumes significantly improved as we benefit from the strong demand dynamics. We are continuing to integrate the acquisitions we have made over the past year and are capturing the benefits these businesses have brought to our greatly expanded portfolio. I would now like to turn our call over to Steve to provide more detail on our financial results for the first quarter 2022.
Steve Bender: Thank you, Albert, and good morning, everyone. The market trends we experienced in the second half of 2021 continued in the first quarter, healthy housing construction and repair and remodeling markets, which when paired with strong demand in industrial and consumer packaging and industrial manufacturing activity, drove record performance from broad-based pricing gains in both segments, along with volume gains from the businesses we acquired in 2021 and the first quarter of 2022. This quarter, we reported record results for Westlake, including sales of $4.1 billion, net income of $756 million, income from operations of over $1 billion for the first time ever and EBITDA of $1.3 billion. The first quarter of 2022 net income increased $514 million from the first quarter of 2021, as a result of the healthy market conditions and solid margin gains across PEM and hip portfolios. There are several key components that contributed to these results. With a global footprint and North American cost advantages, Westlake captured the benefit of a vertically integrated production chain with globally competitive ethane, power, natural gas and oils, a North American manufacturing footprint well situated to serve strong domestic demand, which also provides most cost advantages to serve export markets and leadership in a growing portfolio of specialty higher-margin value-added branded products. Both of our segments had solid earnings with strong margins, anchored by robust demand in packaging, housing, construction, medical, automotive, industrial markets. First quarter 2022 year-over-year average sales prices and volumes for Westlake were up 46% and 26%, respectively, driven by very strong demand across product portfolios and contributions from our acquisitions. The strong demand and pricing initiatives more than offset the persisting supply chain disruptions and inflationary impacts of our cost. Our utilization of the FIFO method of accounting resulted in favorable impacts of $48 million compared to what earnings would have been reported if we'd use the LIFO method of accounting. I will now discuss the performance of our two segments. We will begin with housing and infrastructure products. The HIP segment EBITDA of $258 million in the first quarter of 2022 increased by $153 million from the first quarter of 2021. EBITDA margins in the quarter improved to 21% versus 17% in the first quarter of 2021. HIP segment sales for the first quarter of 2022 were $1.2 billion, an increase of $609 million from the first quarter of 2021 and $177 million increase over the fourth quarter of 2021. In housing products, sales were $972 million in the first quarter of 2022, a $129 million higher than the fourth quarter of 2021, reflecting the strength across our product offerings, including building products, pipe and fittings and our post-industrial recycled products, servicing the residential markets. Our housing products business continued to benefit from strong repair and remodeling activity and new construction in the residential markets in North America. Our Pipe & Fittings businesses benefited from the increase in housing construction activity and the tight supply conditions for PVC pipe. The strength we have seen in residential construction has been driven by higher margin offerings in our building products, pipe and fittings as well as wire and cable compounds. Industry consultants, including the National Association of Homebuilders, the Harvard Joint Center for Housing Studies indicate continued strong market conditions for remodeling, while the US Census data reports new housing starts continuing at elevated levels, reflecting strong demand for single and multifamily construction spending. Now turning our attention to infrastructure products. Sales for the first quarter were $252 million, an increase of $48 million over the fourth quarter of 2021. Infrastructure Products benefited from strength in our larger diameter pipe fittings businesses, servicing the nonresidential markets. These products serve a wide variety of sectors, including agriculture, municipal water services, health care, transportation industries, among many others. We expect the infrastructure investments and Jobs Act will provide further demand strength as states and municipalities begin to develop and start construction projects to address our nation's long-neglected infrastructure needs. Now, I will move to discuss the results of our performance in Essential Materials segment. Westlake is a global leader in Chlorovinyls markets with an integrated manufacturing chain in the US, which has an advantaged feedstock cost position and a specialty product portfolio in Europe. When paired with the strong market fundamentals for these products, we delivered another quarter of record results. For the first quarter of 2022, PEM segment delivered EBITDA of $1.1 billion, an increase of $613 million from the first quarter of 2021 on $2.8 billion of sales. PEM segment sales increased due to strong demand and favorable market conditions. During the quarter, our new epoxy business contributed to our earnings with higher sales prices and strong sales volumes. For the first quarter of 2022, PEM experienced strong price momentum across the portfolio. Performance Materials, which includes PVC, polyethylene and epoxy, had sales of $1.9 billion. This was an increase of $725 million over the first quarter of 2021 and increased $265 million when compared to the fourth quarter of 2021. The solid demand for PVC was anchored by continued robust economic activity in end-use markets, including construction and home remodeling, which was evident in our HIP results that I just discussed. These factors drove strong PVC sales prices in the segment and strong integrated margins. Polyethylene benefited from the robust demand in industrial and consumer packaging markets, driven by price gains, while volumes were hampered due to logistical constraints. Elevated NG prices continue to drive epoxy demand in the wind, energy markets, while some markets in Europe and Asia, such as automotive slowed in our epoxy Intermediates business. Turning to Essential Materials, which includes caustic soda cost, styrene and chlorinated derivatives, it had sales of $903 million and was an increase of $365 million compared to the first quarter of 2021 and increased $107 million when compared to the fourth quarter of 2021. Our caustic soda business is largely based in North America saw continued pricing gains in the first quarter of this year as global industrial manufacturing activities improved over 2021, as industrial production in Europe and Asia faced significant energy price increases. Net cash provided by operating activities was robust at $700 million for the quarter. As of March 31, cash and cash equivalents were $1.1 billion, and total debt was $5.2 billion. Westlake has given notice to redeem $250 million of debt on May 14, 2022. Capital expenditures for the first quarter were $263 million. We are maintaining our forecast for capital expenditures to be between $750 million and $850 million, which will support our operations, including our recent acquisitions, lower our costs and drive efficiencies, including projects to debottleneck VCM, EDC and PVC in several sites. This also includes spending to increase our investment in the LACC joint venture to 50%, which was completed in the first quarter. For the full year of 2022, we expect our effective tax rate to be approximately 23%. We also expect cash interest expense to be approximately $170 million. Annual depreciation and amortization is expected to be approximately $1 billion. And based on our current view of demand and pricing, I'm also maintaining our earlier revenue guidance for HIP’s revenue in 2022 to increase by 50% to 60% from the reported revenues of $3.1 billion in 2021. Now I will turn the call back over to Albert to provide a current outlook for our business. Albert?
Albert Chao: Thank you, Steve. The U.S. housing and remodeling repair markets are both performing well. The U.S. Census housing data and Harvard’s leading indicator of remodeling activity supports the outlook for continued growth in housing and construction-related spending in 2022. Industry consultants note that inventories of new homes available for sale remain low in the amount of under building over the last 15 years has left a deficit of 5 million to 6 million homes. Homebuyer demand fundamentals are being driven by home upsizing, historic underbuilding and more people working from home in spite of the recent rise in mortgage interest rates. Remodelers continue to report solid demand for whole home renovation projects. As consumers anticipate remaining in homes over a longer period and spending more time at their houses. New housing starts remain elevated and the leading indicator of construction activity, including a rising housing permits and historically low unemployment are forecasting sustained growth over the next several years. The value of our premium brands and breadth of our products provides Westlake deleverage to expand our reach in the housing market with higher value-added specialty products, while driving strong, resilient earnings power in our HIP segment. In PEM, growth in urbanization in global economics – economies and population keep the outlook remaining favorable as Performance Materials using everyday products such as housing, packaging, healthcare, automotive and wind energy drive our polymer demand for PVC, polyethylene and epoxy. Westlake's value-added specialty polyethylene portfolio, combined with our globally advantaged cost position in North America drives higher margin and more resilient profitability, increasing industrial manufacturing demand for essential materials such as caustic soda and chlorine is expected to materially exceed supply additions in the coming years, supporting a robust outlook. Epoxy extends Westlake's end market exposure to higher-growth sustainability-oriented markets such as wind energy, as well as automotive and aerospace live weighting. As a leading producer of these performance and essential materials, we are well positioned over the next decade to benefit from secular demand growth driven by the need for the application of formulated differentiated and specialty products. We view all aspects of our business under a strategic lens and keep our capital discipline focused on accretive initiatives. Our ongoing digital initiatives and innovations further refine and optimize operations and provide incremental savings. We have saved tens of millions of dollars each year by investing in these kinds of innovations. We're investing opportunities that further our strategy of product expansion and increases over our vertical integration and sales channel capabilities to meet the needs of our customers. Westlake has a strong commitment to sustainability in achieving our ESG initiatives with our announced 20% carbon intensity reduction goal by 2030. We see sustainability as an important value driver. We have developed and launched a wide range of sustainable products, including consumer products using recycled plastic material. One pallet solutions which helps our customers create sustainable products, as well as bio-based solutions for building materials. As part of our sustainability commitment and to meet the needs of society, our product innovation pipeline will continue to introduce new and sustainable products. These are just a few examples of Westlake efforts in a move towards a more sustainable world, while driving earnings growth. Over to volatility driven by economic and geopolitical factors that could impact our business, current market conditions remain favorable. We remain confident in our business fundamentals, which enable us to deliver more resilient earnings and cash flows in a variety of economic environments. Thank you very much for listening to our first quarter earnings call. I will now turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind listeners that our earnings presentation, which provides additional clarity into our results is available on our website, and a replay of this teleconference will be available two hours after the call has ended. We will provide that number again at the end of the call. Latonia, we will now take your questions.
Operator: Certainly. [Operator Instructions] Our first question comes from Aleksey Yefremov of KeyBanc Capital Markets. Your line is open. 
Aleksey Yefremov: Thank you, and good morning, everyone. You discussed where your current margins in the Epoxy business stand -- in absolute terms or relative to the overall segment? And also, how do you see those margins evolving in the short-term, so in the second quarter versus first? And also, where do these margins stand relative to the mid-cycle?
Roger Kearns: Yes. Thank you, Aleksey. This is Roger Kearns. A couple of comments on that. I think what we see today in epoxies is a little bit three parts of the world with three different speeds. We're still seeing quite strong demand in North America, which is supporting good pricing. Europe is a bit of a moderate case. Certainly with the Russian-Ukrainian impact, slowing things a little bit, and then China with the COVID lockdowns has slowed down quite a bit. And so we're starting to see, I think, still quite good margins. But over time, with China lockdown, expecting to see a little bit more exports out of China and more competition coming from China. But today, I would say, overall able to correct or cover all of the raw material costs that we're seeing globally.
Aleksey Yefremov: Thank you. And the second question also on margins at this time in the hip segment, you were 21% or so EBITDA margin this quarter. How do you think your overall average would look like for the year?
Roger Kearns: Yes. I mean, I think at our Investor Day, we were talking about our goal was to start to get up into the high-teens to 20%. I think we would still stick with that. We'll see -- it depends on a little bit what pricing does as we go on forward on raw materials. But overall, yes, we're happy with the improvement we've made.
Aleksey Yefremov: Thanks a lot.
Operator: And our next question comes from Kevin McCarthy of Vertical Research. Your line is open. 
Kevin McCarthy: Good morning, everyone. I was wondering if you could comment on your near-term outlook for caustic soda prices. I think through the trade press, I read that you had put forth a proposed increase of $200 per ton. Is that accurate? And how much of that are you realizing in April and May, recognizing that one of your competitors seems to have suffered a significant outage in Louisiana?
Roger Kearns: Yes. Thank you, Kevin. Roger, again. I think we did put out a price increase on caustic as described. We are seeing continued solid demand for caustic and chlorine both. In fact, both sides of the ECU are quite strong. And we're -- especially on the membrane caustic is quite tight. And so we're continuing to see support there and strength, and we'll continue to support the price increases.
Kevin McCarthy: Okay. And then on PVC resin, one of your industry peers announced interest in a joint venture structure or a partnership anyway, whereby they would integrate downstream into PVC resin. What are your thoughts with regard to PVC resin expansions either on your own or as part of a partnership?
Roger Kearns: Yes. I mean, I guess, this is Roger, again. I'll make one more comment to see if Albert and Steve want to jump in. But, I mean, PVC is very core for us. And so, we will continue to follow the growth in that market, as needed. We are integrated, as you know, from ethylene through the chain. And so, we'll continue to support that. I think talking about what you're reporting there. Obviously, to make PVC is coming through the chlorine chain in the EDC. And so, that's a component of getting to PVC at the end of the game. But, no, we'll continue to support the growth in the PVC market as needed.
Kevin McCarthy: Thank you.
Operator: And our next question will come from Mike Leithead of Barclays. Your line is open.
Mike Leithead: Great. Thanks. First, I want to start with, I think, US natural gas is around $8 in MMBtu today. So can you just talk about what you're seeing kind of what your outlook or expectation there is? And maybe, relatedly, Steve, I appreciate, it's really early still in the second quarter. But just given the dramatic quarter, they've moved to natural gas, and obviously, ethane. Any sort of early estimate of what a faithful tailwind might be, if just assume prices flat in there.
Steve Bender: Yes. So, Mike, good question there. I think if we drew the end of the quarter today, as you recall my notes and our comments, that we had a $48 million FIFO benefit in the first quarter. And if we drew the end of the quarter today, if you think about it, gas is up, ethane is up, but ethylene is lower. And so, it'd probably be similar to where we ended the first quarter, if we ended the second quarter today. It's hard to know where things may trend into the month of May and June, but it's -- if we ended the quarter today, we'd probably be similar to where we are for the first -- end of the first quarter.
Mike Leithead: And just general thoughts on US natural gas outlook.
Albert Chao: Well, this is Albert. We're looking at IHS forecast. They are looking at second half natural gas price to drop to the $3 and -- $3 to $4 range rather than today's elevated price.
Steve Bender: Yes.
Mike Leithead: Okay. Maybe just, finally, Steve, you mentioned there was some debt that you gave notice to earlier. Is there any other debt paydown that you think is muted this year? And how should we think about the remainder of the cash flow being spent this year, excess cash flow, whether M&A versus shareholder return?
Steve Bender: So, Mike, when we think about the opportunity to deploy that capital, we've talked about our guidance in capital expenditures this year between $750 million and $850 million. You're right. We've already given notice and expect to retire that debt later this month, $250 million. It was coming due really in July, just accelerated that retirement to 60 days. And so, when you think about the other opportunities, we certainly will continue to look at deployment of the capital to reward our shareholders through share buybacks and dividends and look for ways in which we can be investing accretively in opportunities. Roger mentioned opportunities that we have underway with some of the expansions we've already talked about in a variety of locations, EDC/PVC, but we'll also look for ways in which we can put capital work from further debt retirement. I have some debt that will come due later this year for one of our projects, RS Cogen. And we also have some debt that could be optionally redeemable, if it makes sense, later this year as well. So we'll look at deploying that capital the most efficient way and that benefits the company and our shareholders.
Mike Leithead: Great. Thank you.
Steve Bender: You’re welcome.
Operator: And our next question comes from David Begleiter of Deutsche Bank. Your line is open.
David Begleiter: Thank you. Good morning.
Albert Chao: Good morning, David.
David Begleiter: Albert, can you discuss, I believe, April ethylene contract fulfill the negotiation. Can you discuss your thoughts or maybe they have settled today, can you give us your thoughts on where that might settle out for April?
Albert Chao: Yeah. The industry have announced price increases for $0.06 a pound for April and for May in polyethylene. And the April polyethylene price, have not settled yet, but we think there's a good momentum to have a price increase in April as well.
David Begleiter: Very good. And Albert, just your thoughts on the ECU margin, holding up from here, maybe even growing higher, if housing would have falls in chlorine into PVC were soft as well. Could this -- would that be likely a potential outcome of a higher ECU margin that Scenario?
Albert Chao: Yes. As you know, we are moving to the second quarter. And second quarter is typically strong for construction, which is PVC related and as well as strong for water treatment, and that's chlorine related. So typically, second quarter is where margins expand for PVC and for chlorine and caustic soda as well as a result.
David Begleiter: Thank you.
Albert Chao: You're welcome.
Operator: And our next question comes from Mike Sison of Wells Fargo. Your line is open.
Mike Sison: Hey, guys, great start to the year.
Albert Chao: Thank you.
Mike Sison: So I'm just curious, when you think about the margins that you're seeing in PEM, why can't that sort of sustain for the full year? I know industry consultants have -- it's sort of coming down in the second half. But any reason -- could it be the new normal, I guess.
Roger Kearns: Yes. Thank you, Mike, it's Roger. I think if I was maybe cut the business into three pieces. I think on the vinyl side, certainly North American vinyls, it's a pretty good outlook, pretty strong outlook. I think for polyethylene, as Albert mentioned, we see first half of the year holding quite good. And in epoxy, as I say, we'll see a little bit what happens in China on epoxy. But overall, I'm not sure the -- each particular business is going to stay exactly where it is. But when we put it all together, I do think 2022 should still be a reasonable year as far as we can see second quarter and into third.
Mike Sison: Got it. And then in terms of seasonality, what is your second quarter, be the best quarter for EBITDA for the company. And then, third quarter maybe comes down a little bit. So sort of that $1.3 billion that you did in the first quarter, is kind of a good baseline to think about?
Roger Kearns: Well, typically, in our industry business, the second and third are the best quarters for construction and demand for packaging and people on vacations and all that. And usually, the first and the fourth quarter are weaker ones. However, I think it also depends on the economy. As you know, they talk about the economy slowing down with high interest rate. The oil price is still staying high and US has the lowest cost position to serve not only the needs of the US, but global needs for our products. So that's a different combination, and we don't know what the future geopolitical and economic impact would have on the world and on our industry.
Mike Sison: Great. Thank you.
Roger Kearns: You’re welcome.
Operator: And our next call -- question comes from Steve Byrne of Bank of America. Your line is open.
Unidentified Analyst: Thanks. It's actually Matt Teo [ph] on for Steve. I wanted to ask a little bit on the epoxy business, where -- kind of where did that flesh out for the end of last year from an EBITDA level and the revenue level, if you can kind of give us a sense for what Hexion ended up doing?
Roger Kearns: So, Matthew did not publish their results for the end of last year when they ended the year because of the series of transactions they had with American Securities. And so, we see publicly reported was in 9 months ended for Hexion as a public entity. So I can...
Q –Unidentified Analyst: Presumably, you’d know what the 4Q was at this point, but I hear you.
Roger Kearns: And so, I would say the market continued to be quite elevated. And so good demand. You heard Roger's outlook in terms of how we see kind of the parts of the world currently in terms of Asia, Europe and the North American markets. But I think it's clear that that the Epoxy business is performing well, given the headwinds we're seeing in Asia and the concerns that we have about headwinds with economic backdrop. But nevertheless, the business is performing well.
Q –Unidentified Analyst: Yes. Understood. And can we flesh out the margin increase in HIP a little bit? I don't -- I know you said probably is performing a bit better than maybe what you expect long term and I'm still, I guess, learning the cadence of the new business, but I don't think about it as a business that should normally be capable of that big of a sequential increase. So, is there like some margin expansion in PVC compounding that's more commodity or is this just good execution or what?
Roger Kearns: Well, I think certainly, as you think about with the HIP business, you certainly see again a strong underlying demand picture really in the construction markets and the infrastructure markets. When you think about what's occurring with the repair and remodeling, we see continued strong repair and remodeling. And even in the face of rising mortgage rates, you see still a fair amount of construction activity even in the face of rising mortgage rates.  Certainly, the compounding business -- the PVC compounding business is a good business and continues to perform well. And so, I think what you've seen in the guidance that we provided in the HIP side of the business is that high teens, and you see us reaching a 21% margin in the first quarter on PIM [ph]. PIM continues to perform very well. You heard us speak about some of the strength we're seeing in the business and we've certainly seen producers with price nominations out both in caustic PVC and polyethylene. So, both segments are performing quite well and I think have very good backdrops.
Q –Unidentified Analyst: Understood. Thank you.
Roger Kearns: You’re welcome.
Operator: And our next question comes from Arun Viswanathan of RBC Capital Markets. Your line is open.
Arun Viswanathan: Great. Thanks for taking my question. I guess I'll try to ask a similar question in a slightly different way. So, you guys were up at the $1.3 billion level of EBITDA in Q1. So arguably, the full year could have some seasonality in Q4, but you should have some positive seasonality in Q2 and Q3. So, is there any reason to believe that the full year couldn't be better than $5 billion? Are there any discrete items we should know about, whether it be synergies or M&A contribution or anything else that you see in the next couple of quarters? Thanks.
Steve Bender: Yes. So, Arun, we don't see any items that I would call as discrete items at this stage. And certainly, from a EBITDA guidance, as you know, we don't provide forward-looking EBITDA guidance, but I think you see the momentum in the pricing dynamics that we outlined in the PIM side of the business. And from our comments, you could see that the HIP side of the business has still got very strong performance, both in construction, as well as repair and remodeling. But the -- we don't see any what I would call forward-looking discrete items that I would specifically call out.
Arun Viswanathan: Okay. Thanks, Steve. And then, I guess another question on sustainability. So given that we have seen some pretty serious inflation, are you seeing a little bit better adoption of some of your sustainable products, just given that the price differential or price premium for them potentially has narrowed versus version plastic and potentially could narrow even further as it go into Q2 and Q3 from the inflation? Thanks.
Roger Kearns: Yeah. Thanks. This is Roger. Maybe a couple of questions on that. We are seeing actually some nice uptake on some of our low-carbon products. So our GreenVin caustic Case and GreenVin PVC as well. We're now seeing sales in Europe. We continue to work on our post-consumer recycled polyethylene and those are continuing to be seeing quite well from our customers. So I think we'll continue to push that. As far as margins, pricing, we are getting some small premiums on all of our low-carbon products right now. So we are seeing some future potential in that growth as well.
Arun Viswanathan: Thanks.
Operator: Our next question comes from Hassan Ahmed of Alembic Global. Your line is open.
Hassan Ahmed: Good morning, Albert and Steve.
Albert Chao: Good morning.
Steve Bender: Good morning.
Hassan Ahmed: The first question on Chlor-alkali prices. I'm just trying to get a sense, I understand demand, like you said, for both chlorine and caustic, particularly in the US is strong. And I also understand chlorine being a fairly local market and caustic kind of being a more global market. I'm just trying to get a better sense of what sort of role in this pricing strength Europe is playing with natural gas prices where they are in Europe and Europe having a fairly decent size Chlor-alkali presence?
Roger Kearns: Yeah. Thanks, Hassan. This is Roger again. Sorry. We're seeing very high pricing in Europe with the raw material push that's coming in Europe. We're seeing quite high prices in caustic. The increases in April. In fact, in caustic and Europe were very significant. And so over time, of course, that's going to attract import pressure. So I think we will see Europe starting to have import pressure from both US and Asia in time. But it's the high price point in the world right now.
Hassan Ahmed: Understood. Understood. And just sticking to the European team. Look, I mean, as I take a look at the LNG market in the US, it seems there have been 14 terminals that have been approved. And there are some segments of the market that are questioning longer term the sustainability of cheap natural gas in the US. And part and parcel with that, the sustainability of, call it, the ethane advantage. So what are your guys' thoughts on that?
Albert Chao: So Jose, I think US, we have a large -- very large shale gas-based natural gas and oil reserves. And I think if the demand is there, there will be more exploration production of these Marcellus segment, one of the biggest gas field in the world, and the demand has not been really that much because of the low price of gas, the gas price move up, you will see a much more investments in that area. So we believe that there will be actually more production of gas and oil, there will be more gas liquids and which help more supply as well.
Hassan Ahmed: Very helpful. Thank you so much, Albert.
Albert Chao: You're welcome, Hassan.
Operator: Our next question comes from Josh Spector of UBS. Your line is open.
Josh Spector: Yes, hi, thanks for taking my question. I just wanted to try again on -- one more time. I'd be curious, would you be willing to quantify kind of the contribution to the quarter, either sales, EBITDA, or perhaps the run rate sales EBITDA business today?
Steve Bender: Josh, I'm not going to call out any specific business within this segment. But what I would say has made a nice contribution in the course of the two months in which we owned it, having closed in February 1st. What I would say is that we do see that business making nice contributions over the course of the year, but we aren't calling out the individual contribution in a particular segment per se.
Josh Spector: Okay, fair enough. And just another follow-up kind of on the margin side of things. I mean I think generally, we see a lot of the downstream business is pushing through price margins move lower, you guys are seeing the opposite. Is there a bit of a change in pricing strategy or are you getting more premium for some of your more premium products or something else going on under the hood, or is this more of a timing of some of the price cost and maybe some volume leverage in the quarter benefiting you?
Steve Bender: Well, -- and I'll let Roger add to the comments here, but I would say that as you saw the acquisition of Boral brought along a large number of higher value-added branded products. And with that range, our portfolio of higher value-added branded products really comes associated improvement in margins. And so when you get a full run rate of a quarter without the inclusion of integration and transaction-related costs as we had in the fourth quarter, you get a full run rate of the contribution of those higher value-added branded products. And I think with the backdrop of the strong market conditions we've seen in Q1 in housing construction that certainly is a nice tailwind. So, I think it's a combination of both that really contributed to the strong performance in Q1.
Roger Kearns: Yes. I want to further add that we are working on automation and digitization that will further reduce our costs, both in HIP and in PEN, but more importantly, HIP because the labor content in HIP.
Albert Chao: And improve our production rates. So, we're actually trying to leverage more out of the assets we purchased.
Josh Spector: Okay. Thank you.
Albert Chao: You're welcome.
Operator: Our next question comes from Matthew Blair of TPH. Your line is open.
Matthew Blair: Hey, good morning, Albert, Steve, and Roger.
Albert Chao: Good morning.
Steve Bender: Good morning Matthew.
Matthew Blair: If I look at the housing starts data, the share of multifamily to total, it's only about 22% year-to-date. Last year, it was around 24%, five-year average is 29%. Should we think of that as an extra kicker on top of just the baseline strong housing starts numbers?
Steve Bender: Yes, I think when you think of the contribution that we see really with starts and of course, remember, half of our HIP businesses benefited from the repair and remodeling. And certainly, the numbers for the first quarter in R&R were also quite strong. So, we're seeing strength really from not only the permits and starts that you commented on, but also the strength we're seeing in underlying repair and remodeling activity that remains pretty -- provides a nice floor in this business from a demand picture.
Albert Chao: And take also potentially with rising mortgage rates, there could be more investments in multifamily and because with a very low -- important rate and the demand for housing remains there. And with the -- we see in -- the age bracket of house buying is moving towards, for the next 10 years on the high side. So if people can’t afford to buy a home, they will live in apartments, so the construction activity even if we think that because of the people are upsizing their homes, moving, spending more time in the home, but potentially, the mortgage rates will not impact their choice as much, but they could still move into bigger apartments and all that. So I think the construct activity will continue to be pretty robust in coming years.
Matthew Blair: Sounds good. And then the release mentioned hydrogen briefly. I was hoping you could expand on that. And how far away are you from revenue opportunities in hydrogen?
Albert Chao: Yes, that’s right. I would just say, I mean, we have revenue today from hydrogen, right, because we make hydrogen in our chlor-alkali units. And so I think what -- as we look forward and hydrogen becomes much more part of a new economy, that's where a premium on hydrogen starts to come in, and that's where we have to continue to work. But the hydrogen we make today, we currently sell from a number of our sites where we use it internally for our own burning.
Matthew Blair: Okay. Thank you.
Operator: And at this time, the Q&A session has ended. Are there any closing remarks.
Albert Chao: I think we have a few more minutes to take remaining questions, if there are any additional folks in the line.
Operator: And I'm sorry, I had an outage. Angel Castillo is our next questionnaire of Morgan Stanley. Your line is open.
Unidentified Analyst: Good morning. This is Eliza [ph] on for Angel. I'm wondering how much cost inflation you're expecting in 2Q relative to 1Q? And how much were you able to cover in 1Q with price increases versus productivity? Thank you.
Albert Chao: So the question as it relates to the first quarter, you could see from the performance of the underlying businesses that the increases that we saw in pricing activity really were able to overcome the cost creep that naturally has come into the marketplace. And so we actually expanded margins in both segments, and we're able to offset any price pressure that we saw in cost. Certainly, you see the price nominations out for polyethylene, caustic and PVC, and we see strong picture really in the housing and infrastructure products space as well. So while it's hard to see fully through into the second quarter, certainly given the strong backdrop in demand and the pricing initiatives that we certainly have announced at this stage, certainly, we hope that we will be able to get some or a portion of all these price nominations that we've announced for across the product portfolio.
Unidentified Analyst: Very helpful. Thank you. And then I believe you're short about 1 billion pounds of ethylene. Are you thinking about investing in ethylene and potentially expanding your capacity in the future?
Roger Kearns: Yes. Thanks, Eliza. This is Roger. I mean, we continue to look at opportunities there. As we've talked a little bit earlier today, the margins in ethylene at the moment are quite low, with ethane price is kicking up and ethylene coming down. But fundamentally, we have a belief in integration, and we'll continue to look at opportunities to see if something would make sense over time.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions] And our next question will come from Kevin McCarthy of Vertical Research. Your line is open.
Kevin McCarthy: Thank you for taking my follow-up. I had a question on your reported volumes. In the press release, I think you indicated volume growth of 25.8%. I'm imagining that may include some contribution from the deals that you've done. If that's the case, would you comment on the underlying pure volume exclusive of the portfolio changes?
Steve Bender: Yeah, yeah. So Kevin, we did see strength, obviously, volumetrically in the contribution of having the epoxy businesses added into February and March in the first quarter. But the volume increase is, obviously, in HIP, or really as Roger noted, really the strength really in the HIP side of the business. And that has really given the ramp-up we see in normal construction activity in the first quarter, good weather in the first quarter and so really ramping up of that activity in the HIP side of the business. Our comments that we made about epoxy is certainly, they made a nice contribution volumetrically, but we're not calling out specific increases in any of these components of the business segment per se.
Albert Chao: Kevin, this is Albert. If you look at our first quarter, compared with fourth quarter of 2021, all the HIP business are already in place. So we have -- for HIP business, we still have 6.8% volume increase. That's the organic volume increase. And in the PEM business, compared with the fourth quarter of 2021, the first quarter 2022 went up by 11.3% by volume, and the epoxy business is very small part of it by volume-wise.
Kevin McCarthy: Okay. Thank you for that. And then I wanted to ask you for your updated thoughts on capital deployment. You've done four meaningful acquisitions, I don't know, $3.8 billion or so. And yet you're generating a lot of cash and your EBITDA is rising. So your leverage ratios, I suppose, will settle out below one turn of 2022 EBITDA. So how are you thinking about potential for additional acquisitions and/or some share repurchases in this market?
Steve Bender: So Kevin, it's -- as I say, it continues to be an opportunity where we'll look to deploy the capital in the most thoughtful way and most value-added way. And so when you think about the opportunities to deploy organically, you've seen us talk about some of these expansions in EDC, VCM and PVC, we'll look for other opportunities to organically expand where it makes good sense. Acquisition opportunities are very episodic, and so we'll look for opportunities and continue to pursue those. You're right. We've invested in four transactions in the last many months, about $3.8 billion, and we'll look for ways, in which we can employ that in a very cost-effective way. But we'll also look to see where we can deploy that capital back to shareholders in the form of dividends or share buyback. And we certainly have authorities from the Board to be able to buy shares. And certainly, we've continued to pay dividends on a very regular predictable basis and raise those dividends on a regular basis. So I think we're focused on making sure that the shareholder gets rewarded both in share buybacks and dividends, but also rewarded through appreciation and value and price by deploying the capital in value creative ways. So we'll look at all of those. But it's hard to specifically call out timing for any acquisition or any organic opportunity. It's really a function of really finding the right value and putting the capital to work. And that's really been our practice over many years.
Q – Kevin McCarthy: Understood. Thanks for indulging my follow-ups.
Steve Bender: Happy to.
Operator: Now at this time, the Q&A session has ended. Are there any closing remarks?
Jeff Holy: Thank you again for participating in today's call. We hope you'll join us again for our next conference call to discuss our second quarter 2022 results.
Operator: Thank you for participating in today's Westlake Corporation First Quarter Earnings Conference Call. As a reminder, this call will be available for replay beginning two hours after the call has ended and may be accessed until 8:59 p.m. Eastern Time on Tuesday, May 10, 2022. The replay can be accessed by calling the following numbers: domestic callers should dial 855 -859-2056, international callers may access the replay at (404) 537-3406. The access code for both numbers is (424-6547). Goodbye.